Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q4 2020 Ameresco Incorporated Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. Thank you. And without further ado, I would like to hand the conference over to Ms. Leila Dillon, Senior Vice President, Corporate Marketing. Ma'am, you may begin.
Leila Dillon: Thank you, Paul, and good afternoon, everyone. We appreciate you joining us for today’s call. Joining me here are George Sakellaris, Ameresco’s Chairman, President and Chief Executive Officer; Doran Hole, Senior Vice President and Chief Financial Officer; and Mark Chiplock, Vice President and Chief Accounting Officer. Before I turn the call over to George, I would like to make a brief statement regarding forward-looking remarks. This call contains forward-looking information regarding future events and the future financial performance of the company. We caution you that such statements are predictions based on management’s current expectations or beliefs. Actual results may differ materially as a result of risks and uncertainties that pertain to our business. We refer you to the company’s press release issued this afternoon and to our SEC filings. These documents discuss important factors that could cause actual results to differ materially from those contained in the company’s projections or forward-looking statements. We assume no obligation to revise any forward-looking statements made on today’s call. In addition, we will be referring to non-GAAP financial measures during this call. These non-GAAP financial measures are not prepared in accordance with generally accepted accounting principles. A GAAP to non-GAAP reconciliation as well as an explanation behind the use of non-GAAP financial measures is available in our press release and in the appendix of the slides, which can be downloaded from our website. I will now turn the call over to George. George?
George Sakellaris: Thank you, Leila, and good afternoon. I hope everyone is staying healthy and safe. First, I would like to thank our employees, customers, and partners as we all continue to effectively manage through these complex times. 2020 was a year filled with both difficulties and opportunities and our people rose to the challenge delivering outstanding results. This year we increased revenues by 19% and EPS by 42%. I would also like to briefly comment on the recent changes in administration in Washington, D.C. while we work hard to make sure that Ameresco thrives regardless of the person or party in charge, we are very pleased with some of the early steps taken by the new administration, including rejoining the Paris Climate Accord and the emphasis placed on and low carbon future. We believe this leadership and direction from the top will create significant additional business opportunities, not only with the federal government, but also with our client base as climate considerations become a key element of their decision making process. While environmental initiatives have them a strong project driver for some of the markets we serve, we are now seeing significant interest from the commercial and industrial market segment as companies prepare their strategies to achieve carbon neutrality. The fourth quarter captured year of record performance driven by our comprehensive advanced technology solutions across our regions and markets delivering results above expectations. Despite the challenging business environment due to COVID-19, our team came together and executed across all levels, pulling in construction where possible, securing opportunistic work when available and focusing squirrely on the dynamic needs of our customers. Even with if they particularly strong fourth quarter in 2019, we were able to continue to show year-over-year revenue growth led by our Federal Solutions Group. As in previous quarters this year, we took advantage of continued improved access to work sites to execute on our contracted backlog. Our energy assets and operation and maintenance businesses continued to provide Ameresco with predictable long-term recurring revenue, which is especially important during these economically uncertain times. These two businesses support our visibility with operational maintenance, contracted backlog of $1.1 billion and estimated energy asset contracted revenues and incentives to $900 million. We were particularly pleased to have increased our energy assets in development and construction to over 350 megawatts. And notably, we added two new RNG opportunities with a line of sight to additional projects in this fast growing sector. I would just like to point out that we are realizing energy as a service and contract structure to implement comprehensive solutions. We're seeing increase in the interest, not only with our existing much more customers, but also with a large underpenetrated commercial and industrial markets as corporate ESG mandates and economics have aligned. Our under energy as a service offering, Ameresco delivers energy infrastructure improvements and related technologies directly to an end use customer under a long-term service agreement, much like many of our long-term federal energy savings performance contracts. Our customers have no upfront capital costs and Ameresco has paid by the customer are of the energy savings and other deliverables determined by each contract. Our energy as a service offering is flexible in order to accommodate a broad range of customer needs. Projects may include a full spectrum of energy conservation measures and renewable assets with others may only include one or two technologies. Our customers benefit from reduced pressure on their borrowing capacity, credit metrics and balances while Ameresco gains another profitable long-term recurring revenue stream. We also achieved another important milestone during the quarter with the publication of our first environmental social governance, ESG report entitled doing well by doing good. This report highlights 20 years of ESG achievements, and importantly defines a comprehensive list of ESG goals for the future. ESG has always been part in the DNA with Ameresco with over 60 million metric tons of CO2 offset by our projects and assets. Objectivity in our solutions and diversity in our team are key components of who we are the company and ensuring we have the best talent at Ameresco is always our top priority. We’ll continue to invest heavily in social programs and focus on the policies that create a healthy and diverse workplace for our employees. We are reinforcing our commitment to the communities in which we operate, further focusing on our volunteerism month in expanding regional scholarship programs where entrepreneurials to students. Our management is aligned to achieve our ambitious ESG goals. And we look forward to update in everyone on our ESG achievements. This year, we continue to build our contracted and awarded backlog with clean technology solutions for our clients. With a growing need for green power balanced with the need for grid stability. We continue to integrate smart infrastructure, battery storage, and other clean technology solutions in many projects. Backlog project is a great example with flow to solar, battery storage and a microgrid. We also announced our first wind farm in County Kerry, Ireland. We’ve completed several solar installations across the U.S., including County's Foothill Lanesville in California, Wappingers school district in New York and 11 sites within the New Bedford Housing Authority in Massachusetts. We work with several smart series on LED lighting conversions including the Oregon Department of Transportation in the City of Medford in Oregon, the City of Phoenix in Arizona, the City of Virginia, Minnesota and the City of Lawrence in Massachusetts. In addition many smart series focused on automatic water meter infrastructure operates including our project with the City of Gainesville and the Woodlands water project in Texas. All of these projects demonstrate Ameresco’s evolution into a comprehensive clean tech integrator and renewable asset developer, owner and operator. The energy industry is going through a great transformation, distributed energy resources. Microgrids renewables are becoming more and more prevalent as we move towards resiliency, carbon neutrality and as the economics become even more compelling. I will now turn the call over to Doran to provide some comments on our financial performance. Doran?
Doran Hole: Thank you, George. And good afternoon, everyone. I’ll now go through the company’s fourth quarter financial performance and our 2021 outlook. Please refer to our press release and supplemental slides posted on our website for additional financial information. During the fourth quarter, we saw continued revenue growth and increased operating leverage, which contributed to another quarter of strong EBITDA growth. As you may recall Q4 of 2019 had particularly strong revenue due to the large federal contract slippage. So we are very pleased to have achieved year-over-year growth. Revenue grew 3% year-on-year and over 11% sequentially with growth across our core businesses, again led by the strong performance of our Federal Solutions Group. We continue to prioritize contracted backlog execution, taking advantage of improved access to sites across our footprint as we navigated the note, the COVID-19 work environment. Gross margin remain consistent as the growth of higher margin O&M and asset revenue continued to offset the increase in our growing design build work. Ameresco benefited from our past investments and the highly scalable nature of our business model. Revenue growth, higher utilization and reduce spending levels, including travel-related expenses were key drivers of our net income and EBITDA performance. And while SGNA expenses will increase in a post pandemic environment, we believe a portion of the savings are permanent and will benefit our operating leverage in the future. Net income attributable to common shareholders was $23.5 million an increase of 5%. Adjusted EBITDA, a non-GAAP measure was $35.7 million, a 21% increase year-over-year. As mentioned above during the quarter, we focused on executing on our contracted backlog, converting a significant amount to revenue. Our year-over-year decline in contracted backlog was due to four large federal contracts signed in Q4 last year. However, we had a very strong new awards this quarter, as our awarded backlogs are 14% year-over-year growth increasing to approximately $1.3 billion at year end. Our total project backlog stands at $2.2 billion. Our assets in development grew to over 350 megawatts with strong contributions across several business units in representing multiple technologies figure that exceeds our 282 megawatts of operating energy assets. We have approximately $2 billion in long-term contracted revenue and incentives between O&M and our operating energy assets. These higher margin, recurring revenue businesses accounted for approximately two-thirds of our 2020 EBITDA. And we believe will provide us with high quality recurring revenue streams for years to come. Ameresco’s cash flows and liquidity remains strong with ample cash and available credit to support our growing project business and execute our asset development pipeline. We ended the quarter with over $66 million of cash on hand. Adjusted cash flow from operations was $35 million for the quarter and $146 million for the year. In addition to strong working capital, we have broad access to project financing and tax equity, and we also have the ability to monetize development assets. During the quarter, we secured over $70 million in project financing and generated $16 million from energy asset sales. Before turning to our full-year 2021 outlook, I’d like to make a quick comment on Q1 2021. During the first quarter of last year, we saw a discrete tax benefit from the CARES Act, favorable weather conditions and a proactive revenue pull forward in response to the onset of the COVID-19 pandemic. This year first quarter weather patterns have impacted production and commissioning of some of our energy assets, which may result in less favorable comparisons. All of this has been factored into our annual guidance. With that let’s now turn to our full-year outlook. We expect 2021 total revenue to be in the range of $1.1 million to $1.15 billion representing 9% year-on-year growth at the midpoint. We are forecasting adjusted EBITDA to be between $135 million and $145 million representing 19% growth at the midpoint. Non-GAAP EPS is expected to be in the range of a $18 to a $26, which after adjusting for 2020 EPS for one-time tax items realized represent 16% growth at the midpoint. We expect a higher effective tax rate of approximately 12% to 18% for the year. During 2021, we anticipate commissioning between 60 megawatts and 80 megawatts of energy assets and expect total capital expenditures to be $200 million to $250 million. The bulk of this investment will be funded through project financing. Now I’d like to turn the call back over to George for closing comments.
George Sakellaris: Thank you, Doran. In closing, I want to again take a minute to thank our customers, partners and employees for their exceptional efforts in 2020. During the time of unprecedented challenges, we were fortunate to safely execute on the work we set out to do and together with our customers we demonstrated resiliency at its finest. We are in the early stages of this great energy transformation. And Ameresco is well positioned to take advantage of the evolving opportunities. I look to the future with tremendous excitement. Invested in the health of our environment has become a focus for so many of our current and prospective customers. Our backlog and our new proposals are full of advanced technologies, including distributed energy resources, solar batteries energy storage, microgrids, smart built-ins, smart cities, and more. The economics have shifted enabling us to integrate and implement game changing environmentally transformative clean technology projects. We believe Ameresco is very well positioned for 2021 and beyond. Operator, I would now like to open the call to questions.
Operator: Thank you, sir. [Operator Instructions] Our first question is from Noah Kaye with Oppenheimer. Your line is open.
Noah Kaye: To start appreciate the commentary in your remarks around the backlog dynamics and some of the puts and takes year-over-year. Maybe first of all do you expect to exit 2021 with higher backlog in particular on the contracted side? Can you comment around any contracting dynamics associated with the transition and administration and then just broadly what you're seeing in terms of the pipeline given the dynamics you pointed about around broad-based sustainability drivers.
Doran Hole: Sure. Good to talk to you. It's Doran. I'll try to take this first one.
Noah Kaye: Hi, Doran.
Doran Hole: So the contracted backlog, the key element of that has to do with conversion timing, right. We have been awarded backlog that's built up quite substantially. And I think that I've mentioned this in prior quarters where the awarded backlog was actually building and increasing and we weren't really expecting it to be so because of the COVID crisis, but as people shifted and adjusted to that working environment, the RFPs and the awards kept going. Now, the contract negotiation is something that is – it's a lot of hard work to get all the way through to converting awards to contracts. And so I think, there's not an overarching theme to the way that we see this year going in terms of contract conversion. We expect it to kind of continue at pace. As we discussed executing on the contracted backlog has emptied the contracted backlog out and going into revenue, but the awarded backlog is building. And I think that our expectation is we'll see those conversions come throughout the year as what I would call an ordinary pace to think again hard to look out on a quarter by quarter basis, of course, because the lumpiness of execution or sorry lumpiness of converting awards to contracts. But other than that, I think it should be a pretty well normalized.
Noah Kaye: Yes.
George Sakellaris: And from a high level, the activity is picking up and the market of course is expanding and thereby, I think, you will see it's firstly the awards and then ultimately in executing contracts, but it does take some time. And everything that's going on with the administration I like to point out it creates a great, great environment. And you will see probably the federal sector moving, but it does take two to three years to see the impact and actually the executed contracts. But pointed out the C&I markets because of the themes are changing and it comes from the top, we see more activity in that level. And I wouldn't be surprised that you will see more of those contracts coming to fruition sooner than any other contracts.
Noah Kaye: Very helpful. Thank you. Just turning to the energy assets and the growth trajectory there, I think, one point we're considering is you put a very high probability of completion on your assets and development. So, you've added to RNG projects the pipeline here, we should assume you've got a pretty good line of sight to getting those done. What is a reasonable to expect now in terms of the run rate on getting new projects, RNG projects done? How many of you think you can add to the portfolio per year say over the next two to three years? What is the run rate look like?
George Sakellaris: Look we've been trying to grow our asset portfolio at least 20% per year and a little bit better, but what is happening and that's this year we said 60 to 80 megawatts installed on solars because we had about 20 megawatts that slipped because of the interconnection with a good deal of this as you can understand that with the COVID-19 situation that's very hard to interconnect. And so we have 20 megawatts shifted from last year to this year, which most likely will be up and running even the middle of the second quarter or so. So in that business, we transformed the whole company now to be able to develop our assets across the country before we want to have this group and the federal. So - and I think one of our people put at best. I think we are getting to what I will call - when we place a point where we develop in some of these assets. And we gave pretty good traction in the marketplace and you see a very good pickup, although it was very happy to see the addition of 2 RNG assets into the development over this last quarter. And Doran, do you might want to add?
Doran Hole: No, I think that you're correct. The funnel is actually pretty healthy on both the RNG side as well as other energy asset technologies. I think we mentioned that we're - caught $200 million to $250 million in CapEx on assets this year. I would say that the cadence we're expecting is press two plants being placed into service in 2022. And then after that call it two to three more years the cadence that we're aiming for, but beyond that I don't think we can give a whole lot more color.
Noah Kaye: Right, so you're getting two plants done this year and then another two in 2022 or are you actually going to do…
Doran Hole: It's one this year, one this year.
Noah Kaye: One this year, okay.
Doran Hole: Yes, one that mechanical completion in December, but we're commissioning now and there'll be two next year.
Operator: Our next question is from Eric Stine with Craig-Hallum. Your line is open.
Eric Stine: So maybe just following up on the RNG question or line of question there, when you think about it going forward, I mean, is there any way to break down the pipeline or how you think things might play out landfill versus dairy RNG just thinking about how much more valuable the credits are, especially LCFS?
Doran Hole: Yes, sure. I mean, I think, it's fair to say that on the dairy side, what the activity we've been seeing is the early stage and we're evaluating opportunities there. We've got a couple of things that we're looking at, but nothing that's included in our 351 megawatts and our focus is based on the historical relationship we have with landfill companies. We have the expertise on the development, the construction, the operation and maintenance for these plants at the wastewater treatment plants and landfills and we're obviously trying to capitalize on that and that's where the bulk of our pipeline will come from. I think, however, on the ag side, we're evaluating it for sure.
Eric Stine: And then maybe just back to results in the previous questions you were talking about backlog expectations for the year, but this is you think about 2021, I mean, pretty impressive that you continue to pull work forward, but yet you gave a guidance pretty substantial growth year-over-year. So you called C&I, but just wondering what are some of the other areas that you think will lead results in 2021?
Doran Hole: Well, 2021, as a starting point, our 12 month contracted backlog is sitting around $600 million…
George Sakellaris: Right, which is better than it was last year.
Doran Hole: Yes. And then we have contracted O&M, contracted PTA revenue, et cetera, which helps us build up that revenue projection there. And then the rest of it – I can't say that it's a particular sector that will bring in the additional growth. However, I think, the broad based momentum behind the industry and the business and what we see in our funnel is what drives us to believe in kind of the numbers that we put forward. George, I don't know if you have?
George Sakellaris: No, basically it's uniform across the regions and across the customer segments, the one that I will say it's picking up as good as it’s faster pace than the rest of the segments is the CMI market. Of course, we were starting with a smaller base to begin with, but the activity level is very good. The only drawback with those people is that they move fast, but most of the projects they ended up in design and built, but they move faster through the pipeline and thereby of course, they helped a lot the top-line, as well as the profitability of oil, we leverage otherwise they go to the organization.
Eric Stine: And you mentioned administrative backdrop you mentioned some improvement things recovering as we come out of COVID. I mean, other thoughts about why now is that CNI customers you’ve focused on it more, they realize increasingly Ameresco’s capabilities or just curious why because it sounds like 2021 is really going to be an inflection point in that business.
George Sakellaris: Many of those companies now they are talking about sustainability and their ESG reports themselves. In addition to so at the beginning to talk about it. And once a message is driven from the top that, I mean the administration people listen and react to it. But in addition to that, and that’s what I’ve tried to point out in my remarks, the economics. For example solar exhibit energy generation. Solar installations across the country right now on some of the largest commercial industrial customers, it makes economic sense for them. Then you can take that to battery storage, many of them they're concerned about resiliency and that's becoming a big issue. And I think if we move forward in this market that might become one of the dominant issues, because distributed energy resources and resiliency will probably be the driving force. The economy have a reliable energy resource in the future and I think a lot of people industrial commercial customers are getting concerned that developing the projects. In economics end up Pennsylvania and Kentucky situations where customers, they save a lot of money and while they stolen some reliability.
Operator: Our next question is from the line of Chris Souther with B. Riley. Your line is open.
Christopher Souther: Thanks for taking my question here and congrats on the results in outlook here. Maybe you could just touch quickly on, I guess the kings for a year. It sounds like the first quarter is going to be a bit weaker. Would you be able to provide just a bit more color on what the - will be for the year, at this point based on what's contracted and how the visibility might've been improving with some of the weather stuff starting to improve over the last week or two here?
Doran Hole: Yeah. I mean, I think the bit that I can talk about is that as you may have appreciated from prior years, the business does tend to be a little bit back-ended towards the later half of the year. And in terms of energy assets, yes, of course the weather will impact production, et cetera. And as we look at completing the RNG plant this year, obviously that will result in a pickup that's going to be back ended. Furthermore, I think our - the installation, the commercial operation date of a lot of the energy assets, the other energy assets we’re going to be putting in service will also be somewhat back ended. So you might see some additional pick up there later in the year, kind of beyond that. I’m not sure Mark, if you have any additional comments on seasonality.
Mark Chiplock: No, I think we would expect it to fall in one of the seasonal patterns. So I think we identified some of the unusual items in Q1 just from a year-over-year, but the cadence of the year should play out over a normal seasonal pattern.
Christopher Souther: And then looking at the backlog being kind of down year-over-year, obviously the moving pieces with the large contract last year and having more of the contracted backlog for this year compared to a year ago. Maybe you can kind of just walk through mix within the contracted backlog between commercial, federal and any kind of color you can provide there. And I’m kind of curious that in the fourth quarter based on the election there. Was any kind of slowdown in the federal just award, just kind of waiting to see what the new administration wanted to do or anything like that, where we could see kind of a pickup from the federal side over the next couple of weeks, months here with the executive order, different things like that, when to see what your thoughts were there?
Mark Chiplock: Good. Couple of things on that last year, the fourth quarter, we had this huge three large total contracts that's got to be signed actually there were Mark pointed out. They were full contracts, large contracts that were signed. And by the way, those contracts by themselves, they could take it as soon as they were signed $13 billion to the top line and the very good profitability, but this year, because of COVID-19, we had a couple of large federal contracts, but they slipped from - we were expecting them to be executed to the last quarter, but now most likely they will be executed this quarter. So we do some slippers on the executed contracts because of the COVID-19 situation. But it indicates even though we have all this constraints, the awarded backlog did pick up, and the 12-month the driving force for the numbers for this year is that 12-month contract backlog. And we started the quarter at a higher level and we started last year, and that's I think that's very telling. In addition to that, of course we have hired a backlogs at any O&M, higher revenues coming from the assets we operate. So we have for what it has been a pretty good year. And I think as time goes on and we get out of the COVID-19, I think the market drivers are strong enough that you will see a pickup, let's say if COVID-19 goes away by the middle of the year or it later.
Christopher Souther: Okay. That's very helpful. And maybe just so we are you seeing any impacts from your recent, activity in Texas, obviously, bring them to the forefront, some of the solutions you might be able to provide around resiliency, things like that. I'm just curious to see, are you seeing increased interest Texas, California, other places that have?
Mark Chiplock: No question about it. As long pointed out in his remarks, the cold weather, the weather affected us this year, we list center 21 time for a few weeks. Actually, we lost Woodland project due to cold weather, I think few days, but we got a hard time getting some of the equipment delivered it to the site. So we had some impact because of the weather, but we took into account that by the end of the year, we will catch up in our metrics. So we are not worrying about that, but this is why I am so excited about the distributed energy resources and where the market is going. For example, you see what's happened is, what I call a single contingency, which is the weather can take out the whole grid. And just picture when we have all the wind farms up and down, they use scores, which is estimated to be 30,000 megawatts. If we do have to have some kind of backup to distributed generation and some kind of a distributed energy storage, we're going to be in big trouble, the 1965 block holiday so the Mississippi will be obligated. That's why we feel. And that's why you see more. I mean, look, every base that we do right now cause resiliency, that's one of the driving forces, some of the festivals, some of the colleges, universities, and so on. They're all concerned about resiliency because what we saw in Texas, we saw the fires in California and don't forget, we sold the - up here in New Jersey and New York a few years back. And I think you're going to see those two occurrences come to pass more often unless we do something about it.
Operator: Our next question is from Jon Dorsheimer from Canaccord. Your line is open.
Jon Dorsheimer: Hi guys, congratulations on just a fantastic quarter in New Year. Nice to see.
Mark Chiplock: Thank you, Jon.
Jon Dorsheimer: So just a couple of questions. I mean a lot of been asked, but I guess maybe just in a different way the COVID redundancies Dorn in terms of OpEx can you place how should we think about that in terms of duplicative of work that needs to occur to keep your employees safe? Once we kind of get through the, the virus and on the other side.
Doran Hole: So to be honest, I haven’t really been thinking about it in terms of duplication of any particular element. I think that when I look at OpEx and I look at productivity as we kind of emerge and we start to see potentially more people at the offices and certainly more people in the field, there’s an element of productivity associated with the continued, what I’ll call hyper engagement of employees who work from home, all of the technological savviness that's come with everybody kind of reacting the way that they have is going to carry through. And frankly, I think is going to make, make the company not just our company, but businesses as a whole more productive. I think that we'll see some creep back up in the travel budgets which will be necessary. But nevertheless, I think that it’s not something that I’m necessarily putting my finger on a number. I think it gives me comfort in terms of the stability of our OpEx.
Jon Dorsheimer: Got it. I’m assuming guidance was done post the ERCOT issue in Texas. And so I’m just wondering as you think about and George maybe for both of you. As you think about '21, you were probably just on the heels of kind of seeing that, or you're still in process in terms of the fallout and exactly what went on in that market? Is that fair to say, I'm just trying to figure out how much of that is probably baked into the expectations.
George Sakellaris: Well I think we, as you might expect, we did a pretty deep dive and we figured out where we are, where we’re going to be. And because we have people on the ground, we get a pretty quick reaction in terms of finding out all the different elements, the puts and takes of operating these plants. What was impacted, what wasn’t impacted? how quickly it's going to come online. We did a pretty quick deep dive. So we've taken all of that into account here.
Jon Dorsheimer: Got it. And then George, if you - I mean, you mentioned probably my favorite topic, which is resiliency versus efficiency and the two are paradoxically opposed. And so I’m just, we’ve been talking so much about efficiency and the move to more efficient systems. I think many mistake the idea that that move is at the cost of resiliency. So in essence, any of these systems we want to think about what the trade office on how we're moving to efficiency and what that means in terms of the cost of the resiliency And you bring up a great point in terms of distributed in sort of centralized versus distributed, which has a major role in that. But our policies right now don't reflect that level of understanding. So I’m just wondering, I’m assuming is kind of a trusted partner as you go through in the discussions that you’re able to really help those customers. And I guess my question is how much do you see sort of start of project versus what the customer thinks they want versus the value that you're able to create in terms of where you - where they end up?
George Sakellaris: Yeah. Very, very good question. And I will agree with you that some of the energy policies and some of the state programs and so on they continue to favor, what I would call large renewable asset development. For example, it’s a great resource to develop all that wind farms along the up and down the used scores, which is estimate 30,000 megawatts. Every time we have a hurricane or an ice storm whatever all of those would be out. But at the end of the day, I think that people will realize that the distributed energy resources with the battery storage will make much more economic sense. So you will see more policies. And that's why I started bringing her up, because not too many thing anything people think about it. And I think you - we will see the change on the attitude of the distributed energy resources. Well, the other thing though, well, the energy efficiency and resiliency, they have very well related. And actually, if you tackle a particular facility with the energy efficiency, you reduce their consumption by 30% of their by the demand by 30%, now you have to back up 30% less would otherwise have to back up. In addition to that, with the smart controls and we have today. And that's why the micro grid is so important. Now, as you can shut off, some of the laws are not as critical. So what you have to back up, it's even less than that. So they're very, very interrelated, but I agree with you. People are not focusing yet because before when I used to be a planner for the new England electric system, we used to turn the system for a single contingency, otherwise lose one of the largest power plants was 1200 megawatts back then brokerage unit. And then after what's happened a couple of hours, we had, we went to double continuously, but now you're single contingency. You take 30% of the load off. It's not a market develop. Its market is going to evolve and develop much faster than people anticipated because of resiliency and the only way it's going to work.
Jon Dorsheimer: Yes, go ahead.
Mark Chiplock: That's what I've been saying that puzzle, the missing puzzle. That's going to put this energy transformation to work is effective storage, energy storage.
Operator: Our next question is from Craig Irwin with ROTH Capital. Your line is open.
Craig Irwin: Good evening and thanks for taking my questions. So I wanted to discuss the operating expenses a little bit. So in 2020 on a full-year basis, you were actually down a couple hundred thousand over 2019 levels. So I imagine COVID a lot of the travel and some of the other business development expenses probably coming off. But can you maybe describe what contributed to that and they turn on the 220 basis point leverage you saw in revenue for operating expenses?
Doran Hole: Well, Greg, I think the COVID related travel savings we're definitely a portion of it. The other thing, when you look at all the line items across our operating expenses, one of the largest items has to do with the utilization of staff. So when you look at our utilization, when we have folks working on proposals that kind of human capital costs ends up in OpEx, if folks are working on awarded projects or contracted projects, those costs actually ended up being capitalized into the projects. So in 2020, because of COVID, I think as we all know, the proposal activity was down, but construction and contracted backlog execution was up. So you kind of saw a little bit of a shift on that number. I would suspect that accounts for most of that with the exception of maybe the reduced travel expenses, I think that's
Mark Chiplock: The primary driver is the shift.
Craig Irwin: Yes.
Mark Chiplock: Because look, when the COVID-19 came to pass and we said, okay, we did see a slow down on basically having access to the customers and they did an evolve into the internet, the zoom calls and so on until about 6 to 10 months into the COVID-19. And so we said, okay, we will shift some of those people that they work in developing projects to execute the projects. And that's why you saw the pickup in our revenue last year, the way we did and the execution that we had, and it helped a lot refocusing, a good chunk of the people. And I'm like, I'm more concerned anymore. I call her.
Craig Irwin: I think that's right. Yep. So then just, just to follow up on that, is it fair that obviously continues in 2021? As we see similar dynamics and very strong work activity out there and most of us working from home or at least social distancing at work. Yes. Okay.
Mark Chiplock: We thought about that when we were developing the plan about a couple of months ago for this year and beyond, but we felt that we have to start refocusing again, developing the pipeline and the awards and that's why we saw a little bit of the pickup this last quarter, and we've continued that. Look, we want to become a dominant player in this marketplace and we have to make the investments in developing the pipeline and the business.
Craig Irwin: Understood, understood. So then this quarter if we looked at your implied guidance, right, for the quarter, you were $32 million about the top end of the range or $52 million above the middle of the range, so very nice finish to year. And you actually saw gross margin improvements sequentially 30 basis points. Last year, you were sort of middle of the range and you saw gross margin deterioration sequentially in the fourth quarter. Can you talk about the contributions what's different this year versus last year? Is this really a business mix or is there may be an execution component and where there any project change outs in this 18.5% gross margin number that you printed?
George Sakellaris: No, it wasn't a project change outs. It was quietly broad because last year, go ahead, Mark.
Mark Chiplock: Yes, so last year, if you remember, at the very end of the year in Q4, we - margins deteriorated because we had some adjustments related to the RIN prices. So I think, Q4 obviously looks like quite low, but if I think you look through 2020, I think the margins - there were no what I would characterize as one-time unusual items, it was really just a function of the mix of the projects that we had. So I think that - as we've been talking about, this is a pretty good mix of design build in our projects, but some of that is offset by some of the advanced technology projects and some of our federal projects. So yes, I think when you come into 2020, it was a little bit more normalized coming out of the end of last year just simply because of the RIN prices. And then of course during 2020, there was certainly some improvement in the RIN prices that helped to contribute to a gradual improvement over time with the margin.
Craig Irwin: Okay, excellent. And then my last question is everybody wants to talk about renewable gas and I too should express my congratulations for the new projects in the pipeline. But I guess the most important question is where you're hedged, right? Can you maybe update us on whether or not you've taken the opportunity with the nice rebound in D3-RIN prices to go ahead and lock away more of your longer term exposure? Do you have much exposure to the spot RIN market, if you could approximate that? And what other key items on the risk side, either to the plus or minus, do you think we need to look at for those three projects that are operating?
George Sakellaris: I will give it a shot and then Doran can probably add some more color to it. Look, the RIN prices are up to 250 bucks right now way up, but we should point out that we have hedged almost 40%. And then we came into last quarter of last year, if you recall, we had hedged up to 78%. So we try to be a little bit conservative and don't put - and have a sufficient hedge. And the long-term contract opportunities are out there, but the discounts are so large that at this point in time, I think we will wait for a few more months to see what's happened. We watched the markets very, very closely. And we still think it's a great market and it's considered as much more to the profitability of the overall business than the other assets as we are doing. But we watch it very carefully. The market, I think, is developing, is evolving. And one of the immediate impacts because of this new administration, where's the RIN prices. And, of course it's going to help a lot this year, but we watched it very carefully because we wanted the end of the day to hedge or have longer term contracts, hopefully seven years plus, and thereby we'll be able to get better project financing for those particular projects. And by the way, we leverage our equity takes us a little bit further than we would otherwise go. So, Doran might want to add some more color to that. But - it's a key issue, but we address everything.
Doran Hole: Yes. I mean, I think, the pattern that we've had over the last couple of years, I think we're likely to continue it because of what George mentioned about the gap between kind of the discounts that the long-term contracts are looking for. So I think we'll continue to be partially hedged partially on some sort of medium term off take contracts and the rest of it we'll continue to monetize or hedge on a short term or a one year basis as we have been watching. You should imagine not just the RIN price as well for the activity in Washington to see what the next move might be for the RVO, et cetera.
Craig Irwin: Excellent. We're very happy to hear you're only 40% hedged, the closing number today was 260 for 2021 RIN. So that is a robust price after where we started last year. Congratulations on a really solid close out for 2020. Your team really executed.
Operator: Our next question is from Shahriar Pourreza with Guggenheim partners. Your line is open.
Shahriar Pourreza: Just on the - a follow-up on the energy assets and sort of the cadence of new projects. Any thoughts sort of about using your own currency to kind of speed this up given where shares are trading right now? I mean, what sort of the governor would not increase that cadence given the opportunity set that's out there, both on the solar and RNG side, especially as we're thinking about beyond 2021 COVID impacts?
Doran Hole: So on the energy assets side - I mean, this is Doran, I'll just…
Shahriar Pourreza: Hi, Doran.
Doran Hole: Just kind of speaking just for a second. So on the energy assets side as you probably have seen some market activity, one thing that we don't want to do is overpay for assets. I don't think that the company has gotten to where it is today without the strong ability to actually develop projects on a Greenfield basis. So we're going to continue to do that and that allows us to map out our CapEx as needed on development as well as construction as we actually develop these things ourselves. That's kind of first and foremost, what I would say is particularly on the solar side. You have to be very, very careful when you're looking at inorganic situations, right. So, and then in terms of financing, we have obviously the multitude of financing sources that we can tap. As we talked about project financing and talked about tax equity, certainly the capital markets are friendly. We consider ourselves to have a lot of options, but we're not being inpatient.
Shahriar Pourreza: Got it. And then just lastly, the Newport News project and the O&M opportunity look like a strong win. How do we sort of think about maybe the cadence for other DOD opportunities like Norfolk heading into the New Year and maybe just the shaping of the RFPs over the course of the year?
George Sakellaris: I see very healthy and I think that would pick up even more. And I think that you will see in the previous administration resiliency become the number one issue and the infrastructure upgrades, where I think it's going to happen with this administration, not only it will continue on that, but you will see more and more projects having more renewable aspects in a request for proposals, because in order to achieve the carbon neutrality with energy efficiency maybe we get you up to 50% otherwise carbon reduction, the rest of that, you need some kind of a renewable resource and the basis of the federal government. They are ideal for locate in whether it's solar, biomass, biogas, battery storage and so on. So I think they can establish a great, great example and drive the market in that way.
Doran Hole: And so I don't think that there's any particular pattern that we can point to in terms of the way that the year is going to go. The good thing about Ameresco is that they're very highly diversified business. We were operating in multitude of regions, including Canada, UK, across the United States plus the federal government business. There's energy asset opportunities being generated out of all of those regions, there's energy as a service opportunities being generated out of all of those regions. And when you look at the way that the proposal funnel is, and the backlog funnel kind of illustrates itself, the projects large and small and diverse - diverse pool of opportunities, it just means like on the whole, we're going to see kind of steady progression throughout the year with what you might appreciate from looking at past years is occasionally you will have whether it's federal or otherwise a lumpy project that moves one quarter to the next quarter or what have you, but you're looking over the long-term I think that we're comfortable with a pretty smooth cadence and growing.
Operator: Our last question is from Pavel Molchanov with Raymond James. Your line is open.
Pavel Molchanov: Thanks for taking the question. So one more about RNG. Traditionally, of course, California has been the epicenter of the RNG landscape because of the LCFS. And I guess the headlines recently is Washington State may be next in establishing an LCFS. And I'm curious how you evaluate that opportunity? And if you've started to scope out, any potential locations in Washington if indeed that legislation were to pass?
George Sakellaris: No, that's a good question.
Doran Hole: Yes, that's a good question. I mean, I don't think we can go specific on what's in the what or sorry - what's not in the 351 megawatts to talk about particulars here, but the move in Washington by the house there, great news obviously watching very closely the other markets where we anticipate similar moves to be made. It's fair to say that the development funnel is looking at LCFS markets and non-LCFS markets for potential development opportunities. We scope and we run pro formas and we consider everything in multiple jurisdictions. So, an LCFS is certainly a great add-on to the revenue stack. But in many of these circumstances, if the design is right, if the distance to the pipeline is right, if the distance to the landfill is right, you might not need the LCFS. So we're developing kind of across the board. So I think that situates us quite nicely to take advantage of these situations when they arise or when they come to their conclusion, which I think we're all hoping Washington will. But yes, it's pretty exciting.
George Sakellaris: And this is where we take great advantage of the thoughtful that we get developed in Ameresco. Let's say that particular state opens up, we do have the resources, we have the local presence and so on, and that's what gives the Ameresco a great, great leverage. Basically when a good solar program comes, let's say, else in Colorado, we have the local presence. We can deliver the same with green gas and so on. And in order to be effective in gaining this project, we have to get local presence. And that's the why I keep telling our organization we have a great platform right now. It's maximizes you as these various, I call them incentives, develop across the country.
Pavel Molchanov: Having asked about Washington State, I'll also ask about the other Washington Congress back in December, extended the section 179 efficiency deduction. And I realized it's a little more obscure compared to the solar and wind credits, but I'm curious, do you guys recognize section 179D in your financials? Or do your corporate customers recognize that on their financials? How does it works?
Mark Chiplock: Yes, that's a great question. This is Mark. Yes, we do for our municipal and federal customers, there - where they have allocated the benefits since they cannot realize the benefit of that as a non-taxpayer. We work with them to get that benefit allocated on certain projects. And then we- yes, we most certainly recognize that within our provision have for some time. And yes, I think we've been fortunate to see over time that that deduction be extended to now having to be a permanent deduction. Yes, it's certainly nice to have going forward. So, yes, that's certainly moved into our tax rate.
George Sakellaris: We were very pleased to see this happen.
Operator: That's the end of our Q&A session. Ladies and gentlemen, thank you for your participation today. This concludes today's conference call. You may now disconnect. Have a great day and stay safe.
George Sakellaris: Thank you.
Leila Dillon: Thank you.